Operator: Greetings, and welcome to the Reliance Inc. Third Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] It's now my pleasure to turn the call over to Kim Orlando with ADDO Investor Relations. Kim, please go ahead.
Kimberly Orlando: Thank you, operator. Good morning, and thanks to all of you for joining our conference call to discuss Reliance's third quarter 2025 financial results. I am joined by Karla Lewis, President and Chief Executive Officer; Steve Koch, Executive Vice President and Chief Operating Officer; and Arthur Ajemyan, Senior Vice President and Chief Financial Officer. A recording of this call will be posted on the Investors section of our website at investor.reliance.com. Please read the forward-looking statement disclosures included in our earnings release issued yesterday, and note that it applies to all statements made during this teleconference. The reconciliations of the adjusted numbers are included in the non-GAAP reconciliation part of our earnings release. I will now turn the call over to Karla Lewis, President and CEO of Reliance.
Karla Lewis: Good morning, everyone, and thank you all for joining us today to discuss our third quarter 2025 results. We delivered another solid quarter amidst market uncertainty, reflecting the strength and adaptability of our business model and solid execution across the Reliance family of companies. Our third quarter results demonstrate how Reliance's scale, diversification and high-performing management teams combine to deliver strong financial performance and capture market share in a uniquely challenging environment. Our tons sold were a third quarter record and outperformed the industry by approximately 9 percentage points, increasing our U.S. market share to 17.1%, up from 14.5% in 2023 due to our smart, profitable growth strategy. Driven by our high levels of customer service and broad inventory and processing capabilities, we offset declining industry shipment trends by winning new business opportunities that also better leverage our operating expenses and meaningfully contributed to our overall profitability. Trade policy uncertainty and readily available inventory are causing buyers to be hesitant, creating an extremely competitive market. In this environment, it is more difficult to immediately increase selling prices to fully offset mill price increases. These factors have contributed to short-term gross profit margin headwinds in the past 2 quarters. In addition, the aerospace and semiconductor markets that we serve, which have high-value specialty products that typically contribute meaningfully to our profits, continue to underperform due to excess inventories within these supply chains. We are confident, however, that the underlying margin profile of our consolidated business remains solidly intact, and we maintain our long-term annual sustainable gross profit margin range of 29% to 31%. Our scale, product and end market diversity and exceptional customer service, including next-day delivery and extensive value-added processing capabilities, were instrumental in our outperforming our competition and capturing significant market share. Overall, non-GAAP earnings per diluted share of $3.64 were within our expectations and guidance for the quarter. Our capital allocation strategy is designed to drive growth and deliver strong returns to our stockholders. We generated approximately $262 million in operating cash flow in the third quarter, that we strategically redeployed into high-value initiatives, including investments in advanced processing equipment and other projects that strengthen our long-term growth platform. Our 2025 capital expenditure budget remains at $325 million, with more than half directed towards growth initiatives. Including carryover spending, we expect total cash outlays between $340 million and $360 million in 2025. Our strong financial position also affords us the flexibility to pursue M&A opportunities that enhance our geographic reach, expand our value-added capabilities and strengthen our margin profile. At the same time, we remain committed to returning capital to our stockholders. During the quarter, we returned $124 million through dividends and share repurchases. Our year-to-date repurchases total more than 1.4 million shares, reflecting our balanced approach to growth and shareholder value creation. In summary, our teams navigated the quarter exceptionally well, keeping our people safe while managing market dynamics with discipline and focus. Our primarily domestic supply chain and strong relationships with our U.S. mill partners provide Reliance a distinct competitive advantage, while our nimble operating model, solid balance sheet and diversified product mix continue to underpin strong and consistent performance. These same strengths also position us favorably to capitalize quickly as market activity rebounds. Looking ahead, we remain focused on investing for growth and delivering value to our customers and stockholders, supported by our consistently strong cash generation. I'll now turn the call over to our COO, Steve Koch, who will review our demand and pricing trends.
Stephen Koch: Thanks, Karla, and good morning, everyone. I want to begin by recognizing our teams across the organization for their strong execution in the third quarter, delivering outstanding service to our customers and navigating ongoing macro challenges with discipline while maintaining the relentless focus on safety. Looking at our demand and pricing trends. Third quarter tons sold were consistent with the second quarter of 2025, surpassing our expectations of down 1% to 3%. Our tons sold increased 6.2% compared to the third quarter of 2024, significantly outperforming the service center industry which reported a decrease of 2.9% in the same comparative period. Our outperformance of the industry demonstrates our ability to gain share in a demand environment constrained by market uncertainty through our smart, profitable growth strategy and the contributions of our continued investments in growth. Consistent with our outlook, our third quarter average selling price remained steady compared to the second quarter of 2025, even as tariff-related momentum quickly leveled off. Pricing upside from certain aluminum and stainless steel products was offset by pricing pressure on most carbon steel products as well as stainless steel products sold into the aerospace and semiconductor industries. Through industry overbuying in the first quarter of this year in advance of the tariffs as well as readily available inventory at domestic mills and depots, pricing for most products has been declining since April, resulting in a very competitive market, which, when combined with stable to declining end demand, has pressured our gross profit margins. As Arthur will expand upon when reviewing our outlook, we believe pricing for most products has now stabilized entering the fourth quarter. Our teams navigated these market dynamics very well while maintaining discipline in pricing and strong customer service levels. Turning to our key end markets. Nonresidential construction represented roughly 1/3 of our third quarter sales, comprising carbon steel tubing, plate and structural products. Shipments for these products were seasonally strong in the third quarter and increased compared to the third quarter of last year, driven by strong demand in public infrastructure work, including civil projects, schools, hospitals and airports, as well as ongoing data center construction. Our scale and broad geographic footprint enable us to capture growth across these key areas. General manufacturing, also about 1/3 of our third quarter sales, is highly diversified across geographies, products and industries. Shipments in this market also increased year-over-year as military, industrial machinery, consumer products, shipbuilding and rail sector shipments were seasonally strong and showed solid year-over-year growth. Relative weakness in agricultural machinery continued. Our sustained outperformance across key product groups in general manufacturing highlights the versatility and competitive advantage for our diversified business model as well as our ability to grow with both new and existing customers in an uncertain macroeconomic environment. Aerospace products comprised approximately 9% of total sales in the quarter. Demand on the commercial side was down slightly due to pent-up inventory in the supply chain, while demand in defense and space-related aerospace programs remained consistent at strong levels. Automotive, which we primarily service through our toll processing operations and are not included in our tons sold, represented about 4% of our third quarter sales. Our processed tons improved over the third quarter of 2024 supported by our investments in capacity expansion. Semiconductor market remained under pressure from ongoing excess inventory in the supply chain during the third quarter. In summary, I thank our team for their strong, focused and safe execution in uncertain and volatile market conditions. The scale and diversity of our product offerings and value-added processing capabilities, combined with dependable customer service, continue to win Reliance new business and new customers and increase our market share. To reiterate what Karla said, we are well positioned to capitalize and improve on our already strong results as market activity rebounds. I will now turn the call over to our CFO, Arthur Ajemyan, to review our financial results and outlook.
Arthur Ajemyan: Thanks, Steve, and thanks, everyone, for joining today's call. We were pleased to report third quarter non-GAAP earnings per diluted share of $3.64, consistent with both our expectations and the third quarter of 2024. Of particular note, the third quarter of 2024 benefited from $50 million of LIFO income, compared with $25 million of expense this quarter, which equates to a $1.03 per share unfavorable year-over-year LIFO impact. I'll circle back to LIFO, but first, I'd like to expand on a couple of points that Karla and Steve mentioned: gross profit margin headwinds and market share gains. Trade policy uncertainty has contributed to temporary headwinds to gross profit margins since May of this year for most carbon steel products. Tariffs initially drove rapid price increases for carbon steel products, which slightly elevated carbon steel margins. But without a corresponding increase in demand and plenty of inventory availability in the supply chain, we encountered a very competitive pricing environment, which led to a third quarter margin decline for carbon products from somewhat elevated levels in the first half. In addition, ongoing excess inventories within the aerospace and semiconductor supply chain continue to pressure prices and margins across a range of stainless steel and aluminum products. In sum, gross profit margin associated with less than 10% of our sales has contributed to consolidated margin compression. We expect this pressure to ease as we move through 2026. Finally, the impact of our LIFO accounting method also contributed to margin pressure this quarter. Since LIFO is applied on a pro rata basis, we continue to carry LIFO expense through 2025 that reflected cost increases that occurred earlier this year. This LIFO effect tends to smooth out on an annual basis, though. For the full year 2025, we are still expecting $100 million of LIFO expense. Turning to organic growth. Our teams have done an outstanding job winning new business and growing with existing customers. We tend to outperform industry shipment trends at wider margins during uncertain times. The incremental volume of over 100,000 tons for the third quarter and over 300,000 tons for the year so far in 2025 has allowed us to meaningfully contribute to our overall profitability. On a FIFO basis, our gross profit margin was 29% in the third quarter, up from the third quarter of 2024, and our FIFO pretax income increased 30%. Looking at expenses, our same-store non-GAAP SG&A expenses were up 4.8% for the quarter and 3.6% for the 9-month period compared to the same prior year period, due to inflationary wage adjustments and higher variable warehousing and delivery costs to support our increased tons sold. We also saw higher incentive compensation in the third quarter due to a 30% increase in FIFO profitability. On a per ton basis, our same-store non-GAAP SG&A expenses were slightly lower in both the third quarter and the first 9 months of 2025 compared to the same period in 2024, demonstrating the operating leverage achieved through our smart, profitable growth strategy. I'll now address our balance sheet and cash flow. We generated approximately $262 million in operating cash flow in the 2025 third quarter, which reflected a working capital investment due to seasonally strong net sales. We continue to generate strong cash flow from operations throughout market cycles, that we redeploy to execute our opportunistic capital allocation strategy. We used that cash to fund $81 million in capital expenditures, pay $63 million in dividends and repurchase $61 million of our common shares at an average price of approximately $288 per share. Year-to-date, our repurchases have reduced total shares outstanding by 2%. And we have approximately $964 million available for further repurchases under our $1.5 billion share repurchase plan that we refreshed in October 2024. As previously announced, on August 14, 2025, we borrowed $400 million under a term loan agreement maturing in August 2028, and used the proceeds to retire of senior notes due August 15, 2025. As of September 30, our total debt was $1.4 billion, including $238 million in borrowings on our $1.5 billion revolving credit facility. Our leverage position remains favorable with a net debt-to-EBITDA ratio of less than 1, providing significant liquidity to continue executing our capital allocation priorities. Looking ahead, we anticipate overall demand in the fourth quarter will remain stable across our diversified end markets subject to ongoing domestic and international trade policy uncertainty. Accordingly, we estimate our tons sold will be up 3.5% to 5.5% compared to the fourth quarter of 2024. And consistent with seasonal trends, down 5% to 7% compared to the third quarter of 2025. We anticipate our average selling price per ton sold for the fourth quarter of 2025 will stay relatively flat compared to the third quarter. As a result, we anticipate flat to slightly improved FIFO gross profit margin in the fourth quarter. Based on these expectations and consistent with typical sequential seasonality where we experience approximately 20% to 25% decline in earnings per share in the fourth quarter, we anticipate Q4 non-GAAP earnings per diluted share in the range of $2.65 to $2.85, inclusive of quarterly LIFO expense of $25 million or $0.35 per diluted share. This concludes our prepared remarks. Thank you again for your time and participation. We'll now open the call for your questions. Operator?
Operator: [Operator Instructions] Our first question today is coming from Katja Jancic from BMO Capital Markets.
Katja Jancic: Maybe starting on the gross margin. So I understand that right now, the environment is such that it's resulting in gross margin compression. But is any of this compression attributable also potentially to your focus on growing volumes?
Karla Lewis: Katja, from a gross profit standpoint, I mean, we've tried to, in our remarks and release, give enough context to help everyone understand the uniquely challenging market that we've been in the last couple of quarters. And what really said a lot to me in recently speaking with a couple of our people who run some of our typically higher-performing Reliance companies, who've been in the business 30 to 40 years, they commented that they've never seen a market quite like the one we've been operating in the last 2 quarters with the pricing strength coming from tariffs without the underlying demand to follow it. And that's what we think is a little unique in the current environment. We think our teams have done exceptionally well in winning business. And they are getting price increases from some of the mill increases that are coming through on products, more so in some products than others, just not at the rate that Reliance has experienced in more normal periods where there was demand pull forward. But we do think that that is temporary. We also tried to highlight, in particular, there's been a drag on margins for some of our special -- high-value specialty products that we sell into aerospace and semiconductor. We're bullish on both of those markets long term. There's just been a little pain, and it has a bit of an outsized impact on our gross profit margin that we've been experiencing the last couple of quarters. But as far as our smart, profitable growth strategy that we've been pushing the last couple of years, that we think our teams have executed really well on, it means grow your tons with good, profitable business and keep our gross profit margin in that sustainable annual range of 29% to 31%. We said there may be quarters where we dip down, which we experienced in this quarter, which there's a little bit of the LIFO timing that Arthur explained that impacts that. But the tons we're going after, we certainly have picked up tons in the flat-rolled space, which those margins aren't always as high as some of the other products that we sell. So could there be a little bit of impact from that? But overall, the end game is the right end game in our view because this is profitable business that's adding to our earnings, it's helping leverage our SG&A expenses, and we're really happy with the additional profit that those tons are bringing to us. So it's not the reason that our margin dipped down. It could be a factor to a certain extent. But there are other -- it's more of the market and a couple of those specialty lines for us having the bigger impact.
Katja Jancic: Okay. Maybe when I look at your inventory level on your balance sheet, it seems like they're moving higher a little bit. I wouldn't expect this to be the case in this environment. Can you maybe talk a little bit about what's going on there?
Karla Lewis: So part of that is pricing. Because as we mentioned, there have been mill price increases, so that's part of the dollars increasing. But we also have our tons up, and we buy based on what we're shipping. And so I think we might have a slight uptick in tons as well, but it's right for the market. And I think we've seen many of our competitors pulling back a bit from having inventory on hand, and this is allowing us to win some business and better service our customers.
Operator: Our next question is coming from Timna Tanners from Wells Fargo.
Timna Tanners: I wanted to follow up, if I could, on the inventory side. I know you said ongoing -- I think the quote I have was ongoing excess inventory was pressuring margins or contributing to the margin pressure. And another mill CEO this week said destocking was over. So I'm just trying to get a sense of, how close are we to putting that in the rearview mirror? When do you think we could switch to seeing appropriate levels of inventory? And did you mean that from your competitors or from your customers, I guess?
Karla Lewis: Yes. So Timna, more at both the mill and the service center level in Q2 and Q3. There was a lot of inventory at the beginning of the year. We think a lot of service center companies were buying heavy to get in front of the tariffs, whether that was coming through import or domestic buys. So we believe service centers have been trying to work down that inventory. We do believe those inventories have come down. We're not going to say if destocking is over. We don't talk about destocking and restocking in our company. We talk about buying what we need based on our shipment levels. But we are starting to see lead times for certain products go out a bit, which is a positive sign. Are we at an inflection point? Potentially. If we're not there, we're probably closer than we were. And when we were talking about the impact on gross profit margin from the competitive environment with a lot of inventory, that was really talking about Q2 and Q3 and the markets we were in every day. So we do see momentum coming out of that. We think like our gross profit margin troughed in Q3 based on the factors we see today. So I would say we probably generally agree with that comment, but probably just wouldn't say it is strongly as others.
Timna Tanners: Fair enough. I want to ask on the comment about winning new business. How does Reliance win new business? Is it execution? Is it price? Is it a little of both?
Karla Lewis: Well, hopefully, it's execution and not price. That's the strategy. And we have changed our message starting a couple of years ago and set specific targets with certain of our Reliance companies, where we felt that they could grow their tons in a profitable way, and ask them to execute on that. And it's really them calling on customers, maybe their customers they had not been calling on prior to that. Maybe they're going back after some business they used to have. We also have much more expanded processing capabilities. We can do a lot more for our customers now with the investments that we've made in that equipment. And so it's really going back out educating our customers, and then getting their orders and proving ourselves. We think that -- we think we provide among the highest levels of customer service in the industry. And that's why typically, once our companies can get their foot in the door with business and show our customers how well we can service them, we expect to retain most of that business that we've earned during these last couple of quarters. Our model, though, does fit with the market that we've been in, where it's been competitive, people have been hesitant to buy too much inventory because of the tariff uncertainty and falling prices in certain products. Our ability to service small orders on a just-in-time basis is a positive in that type of market environment. So we probably won some business because some customers' buying patterns changed a bit. But I think we should be able to hold on to a lot of that business that we were able to win during the last couple of quarters.
Timna Tanners: Okay, appreciate it. And I want to squeeze in one more if I could. I'm going to dare to ask a question about LIFO. But it's kind of bizarre to see continued LIFO expense at the same time as you're talking about prices having drifted lower recently. So I guess just at a high level, when do we clear the decks and start to have like a neutral LIFO environment? It sounds like you're still expecting continuation into Q4. But is it getting to a point where we run through that and start to see LIFO income or at least no LIFO impact?
Arthur Ajemyan: Yes, Timna, good question. So LIFO is an annual estimate. So I guess, the way you're thinking about it, a lot of the cost increases, if you step back or look at the year, happened in the first half of the year. But because it's an annual estimate, we applied it pro rata. So you're right. And intuitively, when you look at Q3 and you say there's LIFO expense, it's essentially associated with cost increases that are in the rearview mirror. But again, because the accounting method is pro rata, you're effectively spreading that equally throughout the year. So as we head into 2026 and costs are relatively flat, then essentially LIFO expense is in the rearview mirror.
Karla Lewis: And just as a reminder, Timna, when we're in more normal times with pricing moves based more on the supply-demand dynamics and prices are going up because of demand and that creates LIFO expense, we're happy to incur LIFO expense in that type of environment. But again, it's been a bit of an atypical environment the last couple of quarters.
Operator: Our next question is coming from Phil Gibbs from KeyBanc Capital Markets.
Philip Gibbs: The semis, infrastructure and aerospace pieces specifically certainly been noting excess inventories for most of 2025. And I know Timna made a general question about excess inventory in the supply chain. But those markets specifically, are you anticipating that those begin to turn around or levelize sometime in 2026?
Karla Lewis: Yes. And Phil, maybe we want to make sure too that we're clear, these are -- in those markets, we're talking in particular about the high-value products. These are the products you've heard us start talking about the end of last year -- well, actually for the last couple of years, coming out of COVID, we saw lead times move to 80 -- 50 to 80 weeks, which we had never seen before. And the whole industry saw that. We do think there was some general overbuying in both the aerospace and semiconductor market of some of these products because there was just concern about availability. And so we've just seen the supply chain working through those products. There are pockets where you start to see some improved demand. So we don't think it's getting worse today. We think it's getting better, but it's, for certain products, it's just going to take some time. So we commented as we go through 2026, we think we'll see continued improvement in the supply chain working itself down for those products.
Stephen Koch: Phil, I would say that if you think about the aerospace inventory, from a Reliance point of view, we're probably in the seventh or eighth inning of kind of getting our inventory under control and in a good position to start restocking in the first quarter of 2026. But the overall industry and our competitors and some of our customers, they're probably more in the fifth and sixth inning. So I think we're in good shape, but we're still going to have to deal with the market dynamics of the reality of there's a lot of inventory.
Philip Gibbs: And on the CapEx side, I think you said around $350 million in cash CapEx this year. What should we anticipate for 2026? Because I know you've been kind of on an above trend for the last several years as you've invested in your capabilities and made more acquisitions.
Karla Lewis: Yes, Phil, that is our current estimate for this year. We're working on our 2026 CapEx budget as we speak. It, we believe, will be probably below what our 2025 number was. We've had some record years the last few years, and it's been good investments for us. But we are pushing our people to really utilize the equipment that we have better, how can we maybe share some of that equipment within the Reliance network, and just really pushing for better utilization of the investments we've already made. But we will continue. We do continue to see growth opportunities and we will have some growth initiatives in our CapEx in 2026. We'll give you that number in February, but probably directionally lower than our budget of $325 million in 2025. And remember, there will be carryover. Some of these projects are multiyear projects. So the cash outlay might be more consistent with this year just because of some of the carryover coming into 2026.
Philip Gibbs: And the last question, just on taxes. So I know there's been the Big Beautiful Bill and half a dozen other things that seemingly are changing cash tax rates and effective tax rates for companies. But is your cash tax rate for this year and next year relatively aligned with the effective rate? Or is it somewhat below?
Arthur Ajemyan: Yes, Phil. So I mean, you can look at our tax rate, for the most part, it's -- we're a full rate taxpayer. I think as far as the new tax bill, yes, it is definitely -- especially the bonus depreciation, that's going to help lower our cash taxes paid. We're currently estimating the impact, but that could be an incremental reduction of cash taxes, probably into $30 million to $40 million range. So that's kind of the extent of the impact at the moment that we've estimated.
Operator: Our next question is coming from Bennett Moore from JPMorgan.
Bennett Moore: If I could circle back real quick on the aero comment, I think from Steve. It sounds like you're expecting maybe restocking could emerge as soon as the first quarter. Is there any difference there between the aluminum and stainless side just given some commentary for some other players this morning and Boeing moving to 42 a month as of Friday?
Karla Lewis: Yes, Bennett. So from I think Steve's comment, again, he was talking specifically about Reliance's inventory position. And remember, we're talking about these specialty alloy steels, titanium, specialty aluminum products. So it's not impacting all of our aerospace inventory and aerospace business. We've seen relatively steady activity with like the aluminum plate and some of the other products that we consistently sell into aerospace. This is a pocket of our inventory that we were talking about. But I commented earlier we're long-term bullish on aerospace increased build rates, absolutely could help that supply chain excess inventory get worked through faster. So that's all positive for Reliance and for the industry if we realize increased build rates.
Stephen Koch: Yes. We're in really good shape regarding our heat-treated aluminum with the 2x and the 7x for aerospace. We're a little more challenged with some of the specialty long products that we're working through.
Bennett Moore: All right. And then turning to the steady pricing guidance, if I could kind of dig into some of the puts and takes here. I mean it seems like flat steel is looking pretty steady. I think you made some similar comments. But we have seen the tinted plate price hikes over the past few weeks with some success. Structural sounds pretty strong, and Midwest premium reached a record high over this past week. So could you walk us through kind of the puts and takes there?
Stephen Koch: So from the wide flange beam point of view, the lead times have been extended and demand has been strong for most of the year, actually probably the last 12 to 18 months. We do appreciate the plate increase that was announced recently, because there was a continuous sliding of some of those products. So we believe that that stopped some of the bleeding, and we are looking for more of an uptick in the fourth quarter going into 2026. There's a merchant bar increase that we think is going to take hold. And just in general, there's been some halt in some of the tubing mills. And overall, looking for brighter days in some of the carbon products.
Karla Lewis: And I would comment too, you mentioned aluminum, Bennett, on the common alloy aluminum, and we did get our prices up in Q3 based on those price increases, some pretty high levels on the Midwest spot, which are good for us, and we're passing through. But I think with the trade uncertainty and not knowing when and what some of those final agreements might be, there's overall some hesitancy of stocking up too much on inventory in case there is a trade action related to the aluminum products.
Bennett Moore: That's great color. And if I could squeeze one more in maybe just on M&A. We saw some activity from peers this past month. Just hoping to get your latest read on the M&A landscape, valuations, if you're seeing any new opportunities emerge.
Karla Lewis: Yes. So we're continuing to see a pretty steady flow of opportunities. We have commented the first quarter -- the fourth quarter of last year, we think, because of the elections, and first quarter of this year, it has slowed a bit. But the market's been -- picked back up to what we would call fairly normal levels and has stayed there. So we continue to look at opportunities as they become available, think about where we might want to be growing. So we think it's a decent M&A environment. I think valuations are generally reasonable. Each opportunity is a little different depending on what the sellers are looking for. But we're pleased with the level of activity we've been seeing.
Operator: Our next question is coming from Mike Harris from Goldman Sachs.
Michael Harris: Quick question. As you work through the gross profit margin headwinds, are there any SG&A leverage you can pull to help protect the operating margin?
Karla Lewis: Yes. So I think, Mike, that's something we're focused on every day and pushing our people to be focused on. We have been talking more internally and pushing our people to really look for efficiencies in their operations, in their warehouse activities. We have reduced our head count even with higher tons being shipped over the last couple of quarters. So that's a focus, again, like I said, that we're always looking at. We look -- we have several different locations. They don't all perform at the same levels. So we are continuously looking at any underperforming assets. How do we make changes there? Sometimes we combine locations. We'll close small locations. That's kind of constant activity that we're doing. And also with our smart, profitable growth strategy, we are getting better leverage off of the fixed cost component of our costs. Arthur, anything you would add?
Arthur Ajemyan: Yes. No, great color, Karla. And Mike, yes, we actually peak head count in Q2, and we've trended down. And that's part of the efforts that Karla mentioned around rationalizing our operations. I think the service levels in this environment are important, and our market share gains have had a lot to do with our service levels. So it's important to be really thoughtful about maintaining those and not just go in and reduce head count for the short term, but in the long term really impact our service levels. So we're being very thoughtful, methodical as we're navigating this environment and really growing the business, getting new customers along with existing customers. We've had some really good success with that, and we're looking forward to continue that.
Michael Harris: Okay. Great color, guys. And then I guess just on the market share gain that you pointed out, going from 14.5% up to like 17.1%. Just curious as to how much of that would you attribute to organic versus inorganic growth.
Karla Lewis: Yes. So certainly, Mike, we have had a few acquisitions over the last couple of years, 4 in 2024, that is part of that. But -- and we call out our same-store and our consolidated shipment trends. But the majority has been organic growth, both again investments we're making in some greenfields, some expansions, our increased value-added processing we're able to do. But really just our salespeople looking for more opportunities and going after good business that's out there that maybe we haven't been servicing the last few years. So we're really proud of what our teams have done going out aggressively, but aggressively through service, not through price, getting that increased business.
Arthur Ajemyan: Yes. That majority is organic, so.
Michael Harris: Okay. Great. And then just last one, if I could. If we look at the third quarter shipments, were there any, I guess, major onetime items in there or perhaps any pull-forward sales that you would call out?
Karla Lewis: No, there's nothing there we would call out, Mike. I mean when your average order size is $3,000 an order, it's hard to get that one big order that really moves the needle. So I think it was just pretty broad-based.
Operator: Our next question is coming from Martin Englert from Seaport Research Partners.
Martin Englert: For nonresidential construction, it seems reasonably good. I'm curious, how much of this activity do you think is related tied to AI, data centers, semiconductor build-outs, kind of that camp of activity?
Karla Lewis: Yes, Martin. It's hard for us to quantify just based upon the diversification we have within our companies and then the customers that we're selling into. And I think we commented on this last quarter, almost every one of our Reliance businesses is touching the data center trend and build, including the build of the electrification to support that, with many, many different products, right? It's not just building the shell of the facility. It's a lot of the internal, racking and enclosures and equipment. It's cooling systems. It's, again, the grid. So we're touching it. And it's been very positive for the industry that the data center trend is strong right now. But for us to quantify that -- we think it will continue to grow. You can look at all the estimates out there of the builds that are being announced, and that will continue. So that's all very positive for us, but difficult for us to quantify specifically.
Martin Englert: And if the government shutdown continues for an extended period, does this pose any risk to any programs you might have exposure to or anything within defense spending?
Karla Lewis: There's nothing that we're aware that's impacted us directly today. We're on -- I think the programs we're on are pretty solid programs, that we expect to continue. But certainly, there, like with anyone else, there could be some fallout if this continues. But it's not something that we've heard any warnings from any of our companies about any of the programs they're on.
Operator: Our next question is coming from Lawson Winder from Bank of America.
Lawson Winder: May I ask about capital return, and I guess, really in the context of capital allocation? One might expect that as the shares were a little bit weaker during the quarter, it might present an attractive opportunity, perhaps allocate more of your capital to the share buyback as opposed to less and maybe direct that away from other opportunities. I mean so how do you think about that in terms of return on your dollars in buying back shares versus investing in the rest of the business? And how should we think about that going forward?
Karla Lewis: Lawson, we think buying Reliance stock is always a good decision, no matter what the price level is. But we do look at that, we do look at what the market value is, and adjust our activity accordingly. We've been active the last few quarters. The exact volumes vary a bit. But we look to be in the market, we look to buy at attractive levels. We've got the balance sheet and the ability. We look at it as a pretty low-risk use of our capital when we're investing in Reliance by repurchasing our shares. And yes, it could be more attractive at different price levels, the same, I think, as for the general market.
Lawson Winder: Okay. That's helpful context. Can I also ask you, are you being impacted by, any way, by the aluminum supply disruption in New York State?
Karla Lewis: Yes. So we do, in our toll processing businesses, directly, we do work with the mill, that I think you're referring to there specifically. And it has created some disruptions in the market that was not expected. And we are working closely with our mill suppliers as well as the end users of the metal, the automakers and others, to try to do whatever we can. We try to be a problem solver for them, whether it's storing metal for them, processing metal for them, actually leveraging the whole Reliance company to see if we can source the metal and fill some holes through some of the other Reliance businesses. So definitely a collaborative effort within Reliance trying to help that particular mill and its customers, as well as the overall industry, because it's having a much broader impact on multiple end-use customers and different mills. So we're just trying to do what we can to help lessen the disruption for those impacted.
Lawson Winder: Is it material enough for Reliance that that could show up on your cost item or impact profitability?
Karla Lewis: No. And the good news with our tolling operations, if they do lose some processing business to this particular mill, they generally have more demand than they can accommodate, that they can process metal for some other customers and end-use applications.
Lawson Winder: Okay. Great. And can we maybe talk a bit about seasonality or can you give us some perspective on that? I mean we've talked for a number of quarters about kind of negative impacts of seasonality on the business. In Q1, we saw seasonality benefit Reliance. When you think about the business today, and looking out to Q1, I mean, overall, across the business lines, should we be looking at a recovery in Q1? Or how are you thinking about seasonality going forward from here?
Karla Lewis: Yes. Lawson, as much as anything is kind of normal in our business, the last few years hasn't been that much normal. But in the service center business, our activity is really based on shipping days and it's based on the number of shipping days that our customers are open. So the normal seasonality is Q1 and Q2 are our 2 strongest shipping quarters. They're usually fairly even, but there can be a little give or take. But the first 2 quarters of the year are our strongest. Q3 typically trends down a bit because a lot of big OEMs will do shutdowns for -- planned shutdowns during the summer in industries that we're selling into. Also a lot of the smaller customers, there are vacations and things going on where small businesses will shut down for a week or 2. So we generally see probably a 3% to 5% falloff in our shipping volumes in Q3 versus Q2. I think the fact that our Q3 '25 shipments were equal with Q2 '25 is a big positive and again shows how our businesses, the Reliance businesses, are going out and winning business from others. And the fact that there was no dip in our shipment levels -- because the industry, I think we'll see, did have the normal seasonality. And then Q4, with the holidays, that's usually another 5% to 7% reduction in shipment levels from Q3, just again because of customers being shut down more days, us being shut down a couple of days for the holidays. And then you see the bounce-back in Q1 when there are just more shipping days, people are back to kind of full staffing moving into the year. So we certainly expect that to happen. I would comment, when people look at seasonality, I just talked about shipment levels, but that obviously trickles down to earnings. And we -- our guide for Q4 earnings per share, typically, we've been down -- earnings per share from Q3 to Q4 dips about 20% to 25%, which is consistent with our guide. However, it was not reflected in the consensus numbers that were out there. So we ask that people putting those numbers out there do steady history and pick up on some of those trends and react accordingly.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Karla Lewis: Well, again, we'd like to thank everyone for joining the call today and your continued support of Reliance. In particular, we'd like to thank all of the Reliance family members for continuing to operate safely and for all that you're doing in these challenging market times and the successes that we've had. We're very proud of what you're accomplishing out there. And also before we close out the call, I'd like to remind everyone that we'll be in Chicago next month presenting at Baird's Global Industrials Conference. And we hope to meet with many of you there. Thank you, and goodbye.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.